Operator: Ladies and gentlemen, good day, and welcome to the Tata Steel Analyst Call. Please note that this meeting is being recorded. All the attendees audio and video has been disabled from the back end and will be enabled subsequently. I would now like to hand the conference over to Mr. Samita Shah. Thank you, and over to you, ma'am.
Samita Shah: Thank you, Kinshuk. Good afternoon, everybody, and good morning and good evening to those of you joining us from different time zones. Welcome to this call to discuss our results for the fourth quarter and the financial year FY '24. We are joined by Mr. Narendran, our CEO and Managing Director; and Mr. Chatterjee, our Executive Director and CFO. I hope you all have had a chance to go through our results, which were published yesterday and the presentation, which is up on our website. The entire discussion today will be covered by the safe harbor clause, which is on Page 2 of the presentation. I will now request Naren to make a few opening comments before we then move on to Q&A. Thank you, and over to you, Naren.
Thachat Narendran: Thanks, Samita, and hello, everyone. I'm going to make a few comments and then pass it on to Koushik for his comments, and then we'll open it up for questions. FY '24 has been a year of progress for Tata Steel despite the operating environment. The global commodity prices, including steel, have been significantly impacted by what's been happening in China. And China's economy is yet to fully recover from its pre-pandemic -- to its pre-pandemic activity levels and its property sector has been in a prolonged slump. While these factors weighed on the steel demand, production remained broadly stable, leading to elevated exports. And as a result, global steel prices have moderated across regions, including India, particularly for flat products and geopolitical tensions have weighed in on the sentiment as well. Despite the overhang of the domestic steel prices, our India performance improved on a year-on-year basis, aided by growth in volumes and an agile business model that is focused on optimizing the cost profile. We achieved the highest ever crude steel production of 20.8 million tons as well as deliveries of around 19.9 million tons, and the domestic deliveries were up 9% year-on-year, leveraging the persistent demand in the domestic market. Among the market segments, automotive volumes were aided by higher deliveries of hot-rolled and cold-rolled coils to the automotive OEMs and grew by 8% year-on-year, and the focus on the product mix led to a 6% growth, year-on-year growth in high-end sales. Our well-established retail brand, Tata Tiscon, witnessed a 15% year-on-year growth and crossed 2 million tons on an annual basis. We cover more than 8,000 pin codes through a dedicated channel of distributors, dealers, influencers and have an e-commerce platform called Aashiyana also to reach out to customers who may even be outside India who want to place orders for steel to be delivered in India. We are looking to shape construction market practices through ready-to-use solutions and have 33 construction centers pan-India that have been started over the last few years, and this enables off-site construction and helps us move the value chain because that trend which is there in most [Audio Gap] reduced our dependence on external purchases. Overall, in India, we continue to focus on market leadership across chosen segments via capacity expansion as well as product mix enrichment. And at Kalinganagar, we have initiated the stove heating. The second stove has also started for the blast furnace. We started heating the first stove a couple of months back. We also started the chimney heating for the coke ovens. And so the commissioning activities are continuing in a phased manner. During the year, of course, 2.2 million ton per annum cold rolling mill was started, which helped us in our downstream presence. As far as U.K. is concerned, we are committed to a sustainable future, and we've decided to proceed with our proposed restructuring and transition to greener steel making. We looked carefully at all the options over the last 7 months in consultation with the union representatives. We will be closing one blast furnace by the end of June. The coke ovens is already closed in March, as you may be aware. We were supposed to close it in June, but because of operational reasons, we closed it earlier. And by September, we will close the second and the last blast furnace. Our proposal is the most viable and preserves a majority of the jobs in the U.K. and Tata Steel remains committed to creating a low CO2 steel business, which will reduce about 50 million tons of CO2 emissions over a decade in the U.K. The proposed plan will safeguard steel supplies in U.K. and Whales and create economic opportunities for generations to come. In Netherlands, our production was lower in FY '24 due to the reline of the blast furnace 6, which took longer than we had planned for, and this weighed down on the cost profile. The relining was completed early February, and operations in the blast furnace is fully ramped up now. We are committed to responsible growth and sustainability is at the core of our strategy. Our route and pace of decarbonization is calibrated across geographies. I've already spoken in detail about the U.K. In Netherlands, we are in discussions with the government for financial and policy support to aid a green steel plant and clean steel plan. In India, we are undertaking multiple initiatives, including pilots, to avoid or convert captured carbon emissions. We have undertaken measures to green our energy mix, to reduce our dependence on coal-based power plants and are also focused on nature-based solutions and conserving water. For instance, we have championed bamboo plantation in our leasehold land and communities barren land around Jharia were our underground coal mines are. The collaboration with farmers will generate livelihood opportunities and act as a carbon sink over time. The bamboo can be converted into biochar and replace the pulverized coal which we inject today into our blast furnace to a certain extent and this reduce those emissions as well. I'm happy to share that our water conservation efforts have led to 0 effluent discharge at the Kalinganagar site. With this, we now have 2 sites that have achieved 0 affluent discharge, namely Kalinganagar and the Gamharia site, which we acquired from Usha Martin sometime back. We are also -- we also recently became the first Indian steel company to ship raw materials from Australia using biofuel blend with a Very Low Sulfur Fuel Oil, which is a VLSFO, setting a new benchmark for sustainable shipping practices in India. So on that note, thank you once again, and I'll hand over to Koushik.
Koushik Chatterjee: Thank you, Naren. Good morning, good afternoon, and good evening to all those who have joined in this call. Let me give you a deeper sense of the financial performance for the quarter and the full year, following which I will give you an update on the Tata Steel U.K. and Tata Steel Netherlands in addition to what Naren just commented. I will begin with the quarterly performance and then move to the full year performance. Our consolidated revenues for the Jan-March quarter stood at about INR 58,687 crores, while the EBITDA was INR 6,631 crores. Excluding the FX impact, the EBITDA margin improved quarter-on-quarter by around 200 basis points to 12% and this was driven by steady performance in India and much better and improved performance in the U.K. and Netherlands. At Tata Steel, stand-alone for the quarter, the EBITDA stood at INR 8,190 crores, which translates to an EBITDA per ton of about INR 15,107 per ton. Excluding FX gain of INR 15 crores, the EBITDA was INR 8,176 crore, which translates to a margin of about 22%. As provided on Slide 36, lower steel realization due to market conditions and higher material costs, primarily due to the inventory drawdown were partly offset by improvement in conversion cost. Fourth quarter is seasonally strong and typically witnesses inventory drawdown, which translates into a charge in our stand-alone financial. Despite the slight moderation in EBITDA margin, they are close to the last 10 years average range of about 20% to 25%. In Tata Steel Netherlands, EBITDA loss was reduced from a negative GBP 117 million in the third quarter to negative GBP 27 million in the fourth quarter. The completion of the relining of blast furnace 6 in early February has led to improved volumes and thereby positively impacted the inventory changes and fixed cost absorption in the fourth quarter. We are currently operating at a rate of 7 million tons per annum of crude steel post completion of the relining of the blast furnace 6. As shown in Slide 38, the drop in revenue per ton of about GBP 32 per ton was more than offset by the improvement in the cost profile. Material costs improved by GBP 32 per ton, while conversion costs improved by about GBP 71 per ton quarter-on-quarter. At Tata Steel U.K., the EBITDA loss reduced from minus GBP 159 million in the third quarter to around negative GBP 34 million in the fourth quarter. As shown in Slide 39, the revenue per ton was down by about GBP 12 per ton, but was offset by improvements in total costs leading to better margins. Improvement in total costs was primarily driven by lower emission right costs, lower bulk gas related expenses and credit on R&D spends in the prior quarters. The early closure of the coke ovens will weigh on, on the raw material costs in the near term as we purchase coke and also the bulk gas balance till we close both the furnaces. I'll speak about that transition in a bit later. Overall, the consolidated operating cash flows for the quarter were around INR 7,394 crores aided by operational performance as well as favorable working capital management to the tune of almost INR 2,000 crores during the quarter. Let me now give you a snapshot for the full financial year '23-'24. As mentioned in Slide 31, our consolidated revenues in financial year '24 was INR 2,29,171 crores, and the EBITDA was INR 23,402 crores, which translate to an EBITDA margin of around 10%. The India EBITDA margin was higher at 22%, but this was offset by the operating losses in the U.K. and Netherlands due to operational issues, much of which Naren has alluded to. For financial year '24, Tata Steel stand-alone EBITDA was INR 31,000 crores, which translates to an EBITDA per ton of INR 15,573. Excluding FX gains of about INR 433 crores, EBITDA was about INR 30,571 crores and EBITDA margin at 22% has witnessed a year-on-year improvement of about 400 basis points. Lower steel realization was more than offset by the decline in the costs. On a per ton basis, the material cost improved by about INR 6,000 per ton due to lower coking coal consumption cost and reduction in purchase of pellets. With the commissioning of the 6 million tons pellet plant at Kalinganagar, we have gradually brought down the external pellet purchase at Kalinganagar and Meramandali sites. At Tata Steel Netherlands, there was an EBITDA loss of GBP 368 million versus an EBITDA profit of GBP 600 million in financial year '23. This was primarily caused by the delay in the ramp-up of the cold rolling mill and the relining of the blast furnace 6, which weighed on the product mix as well as on the cost profile. The revenue per ton declined by about GBP 158 per ton, while conversion costs increased by about GBP 21 per ton. Material costs were broadly stable. Lower raw material costs were offset by change in the inventories. At Tata Steel U.K., the EBITDA loss expanded from GBP 125 million in financial year '23 to GBP 364 million in financial year '24. The revenue per ton was down by about GBP 143 per ton, while material cost improves by about GBP 50 per ton and conversion cost improved by about GBP 6 per ton. Material costs were primarily aided by lower coking coal and iron ore consumption cost. With the structural steps that we are undertaking, including the closure of the heavy end assets, this will reverse, especially in the second half of the financial year. Overall, our consolidated operating cash flows for the full year were around INR 20,300 crores, aided by a strong India performance as well as favorable working capital movement to the tune of about INR 3,300 crores. There were a cumulative working capital release of about INR 3,800 crores in India and in Netherlands. Of the generated cash flow, we spent about INR 18,207 crores on capital expenditure, which is broadly in line with the guidance provided for the full year and is higher by about 29% compared to the financial year '23 spend. We have been prioritizing growth in India and majority of the spend for the 5 million tonne expansion at Kalinganagar and the other downstream operations in India. Separately, we have utilized some of our cash balances in Netherlands to find the relining of the blast furnace 6, and this has been part of the explanation that has led to the decline in the cash and cash equivalent from INR 17,000 crores in financial year '23 to INR 9,532 crores at the end of financial year '24. As a result, while our gross debt increased by about INR 2,189 crores to INR 87,082 crores, the net debt actually increased by INR 9,700 crores to INR 77,550 crores. However, the group liquidity remains very strong at about INR 31,700 crores. Looking ahead, we are focused on the financial stewardship to enable returns across the cycle. In the next financial year, we will be spending approximately INR 16,000 crores of capital expenditure. Most of this will be spent on the completion of the Kalinganagar expansion. And a little part of it will be on the U.K. decarbonization program. We will continue to prioritize CapEx for India growth and triangulate spend with deleveraging to ensure that the balance sheet remains strong and flexible. We are actively pursuing options to deleverage based on the cash flow generations. We're exploring lean financing options and continue to provide comprehensive sustainability disclosures as a responsibility corporate. An update on the ongoing restructuring and transformation in the U.K. Let me start with the restructuring. As you are aware, we have been engaged with discussions with the multiunion trade unions, which is represented by the Steel Committee and its advisers since the announcement of the agreements on the terms with the U.K. government in September '23. As part of the consolidation, we have carefully considered the multiunion proposal for continuity of blast furnace through the transition to the electric arc furnace. Further, we have also explained to the U.K. Steel Committee representatives who visited the site that building a new electric arc furnace while continuing to operate the existing steel melting shop is a high-risk, complex and will delay the transition by 2 years. Tata Steel and the union's advisers reached a common conclusion that the multiunion plan would involve significant additional cost of at least GBP 1.6 billion. The national consultation between -- therefore, the national consultation between the Tata Steel U.K. and its unions on the asset closure plan has concluded at the end of April. Under the proposed restructuring program, Port Talbot's 2 blast furnaces, that is #5 and #4, would close by the end of June and latest by the end of September 2024. Following the closure of blast furnace 4, the remaining heavy end assets would also wind down and the continuing annealing and processing line, the CAPL, would closed in the month of March 2025. Tata Steel U.K. has also agreed that it will continue to operate the hot strip mill through the proposed transition period in the future. Planning for the cession of the blast furnace for the planned dates of June and September is currently on track. The details of the cession, the isolation plans to enable a safe shutdown have been prepared. Decommissioning managers have been onboarded and discussions with the local bodies and regulators are ongoing on safety and hazard-related aspects. In short, we are on time as far as the blast furnace 5 planning for shutdown at the end of June is concerned. A couple of points on ensuring a safe and smooth transition from -- for our operations. Tata Steel U.K. has already secured most of the slab and the hot rolled coil substrate required during the transition to ensure a seamless service to its downstream business and customers. It has agreed the details with the associated British ports to expand the slab handling and stockholding capacity in the South Wales ports and is also in advanced discussion to have rail movement capacity ready for onward transmission -- transportation of substrate to the appropriate sites. I also want to mention that we are progressing on the EAF project as per plan. We are at the advanced stage of engineering and expect to place equipment orders by September 2024. And based on the current permitting timelines, we'll bring in construction on the EAF project by August 2025. We have also formally signed the connection offer with the electricity system operator in the U.K. for the new high-voltage connection in Port Talbot. The new infrastructure will be made available to us as per plan, ensuring that we can commission the EAF on schedule in 2027. I would also like to now give you a brief update on the discussion in relation to the decarbonization plans for Tata Steel Netherlands. We need to arrive at a solution which has the support of all stakeholders and especially the Netherlands government. In November 2023, we had submitted a plan to the Ministry of Economic Affairs, whereby we will replace 1 of the 2 blast furnaces with the direct reduced iron plant as well as an electric arc furnace. On March 28, after reports from 2 independent advisory groups appointed by the government, the cabinet confirmed that the government is willing to support this together with certain other measures, which will improve the environment and health impact of our IJmuiden plant. The parliament has given the mandate to the government to negotiate the same with the company. And in May, and the negotiations with the government have started with the idea to finalize terms of support along with the commitments under a detailed framework during the course of the next 6 months or so. Now I'd like to spend a little bit of time on our sustainability disclosures. We are actively involved in development of national and global standards and in the previous year have published the BRSR report and the Climate Change report aligned with the recommendation of the TCFD. Further, Tata Steel has committed to the UN SDGs since their launch. We have prioritized 15 out of 17 UN SDGs after an intensive and multipronged approach that considered national and regional context, company contribution and opportunity to create the larger impact. A total of 68 targets have been prioritized across 15 goals, and they are linked to business KPIs and the annual plan. The Tata Steel Foundation, which anchors our social impact program, has been incubated as the institution which converges resources, talent and social capital necessary to implement a bottoms-up population level impact on complex societal challenges. It has the know-how and the models to replicate our strong impact footprint in newer locations in the country, including Maharashtra, West Bengal and Punjab, along with Eastern India, which is our focus geography. In financial year 2024, our programs impacted the lives of more than 4 million people from vulnerable sections of the society, while enabling steady progress on prioritized SDGs. The company focuses on signature themes, which are large scale and has proven changes in the society and addresses the core development gaps in India while being replicable even at a global platform. Some of them include the MANSI program, which is the Maternal & Newborn Survival Initiative, which saturates about 50 blocks of Jharkhand and has led to stabilization of more than 80% of identified severely acute malnourished newborn children. Our work on community-based education in a district saturation mode has led to 440 panchayats, including all panchayats of Keonjhar in Orissa, declaring themselves as child labor free zones in the financial year 2024. This is complemented by Masti ki Pathshala, which is working with 3,800 children today to create an urban agglomeration free of worse forms of child labor. Our programs on advancement of tribal languages now cover 40,600 learners in 702 centers of 10 languages of the tribals and tribes of Eastern India and has fostered around 40 original literary and academic properties in these languages during the year. An equal emphasis is laid on regional change models enabling lasting betterment in the well-being of communities, prioritizing those who are excluded and proximate. These include climate resistant -- resilient agricultural programs where we worked with more than 90,000 farmers with visible impact on their incomes. Our health and wellness initiatives have led to reduction in incidence of malaria per 1,000 population, aided in recovery of tuberculosis patients and identified high-risk cases, especially in women and children to treat appropriately. Water is a basic amenity and more than 47,000 plus lives have been touched via our water conservation activities. We have created nearly 166 million cubic feet of water storage in and around 1,450 acres of land that has been treated in the last 3 years. It runs with a mandate of designing and delivering program, which brings irreversible intersectional and transformational change while also leveraging the strong programs, extensive understanding of communities and management skills to partner with like-minded partners and organizations through collaboration. Going forward, Tata Steel will remain anchor funder and provider of necessary system support, while Tata Steel Foundation will leverage private and public capital as a force multiplier of impact at a much larger scale. Overall, our initiatives are wide-ranging and aligned to our operations and CSR activities to make a better tomorrow. With this, I'll end my comments and we open the floor for questions. Thank you so much.
Operator: [Operator Instructions] The first question is from Satyadeep Jain of AMBIT Capital.
Satyadeep Jain: Am I audible?
Thachat Narendran: Yes.
Satyadeep Jain: First question on the U.K. transition. Just wanted to understand, in the notes to accounts, you mentioned the current agreement with the U.K. government is nonbinding. And you still need to sign the gross funding arrangement and have the final investment decision. Now U.K. is heading into elections in July and you've indicated you want to shut down the blast furnace in June. So how does the signing of the investment -- final investment decision before elections, after elections impact your plans? And would you still go ahead with the closure even if the gross funding agreement and final investment decision is not made by then?
Thachat Narendran: Yes, Koushik, just...
Koushik Chatterjee: Yes. Satyadeep, so while the GFA term sheet was nonbinding, but we are at an advanced stage as far as the grant funding agreement is concerned. That is something that is being finalized between the U.K. government and us. And as I said, it will run its own course in terms of getting signed in the next maybe a few weeks or so. The elections will -- are a political event, which does not affect the company's plan on moving ahead with the project. This transition is very critical and very important. As I mentioned in my commentary, we are on course as far as the planning for the decommissioning of the heavy end is concerned. The first 1 will -- the blast furnace 5 will be taken down in the end of June. The coke ovens is already being wind down earlier than planned because of operational issues. And therefore, we are on course as far as our plan for the decommissioning of the heavy end is concerned. We have also done extensive 7-month consultation, both informally and formally with the Steel Committee, which is the multi-trade union platform. And we have concluded on the consultation at the national level. And that is something which is an important bit, which is what we announced some time earlier. And therefore, it is on execution phase as far as the project is concerned. And this year, we plan to spend our initial part of the capital in terms of the site preparation and the other engineering costs, as I mentioned in my commentary.
Satyadeep Jain: Just want to make sure I understood correctly. Even if the GFA and final investment decision is not made by June and no matter what happens, you'll still go ahead and close the blast furnace in June, right? Is that understanding correct?
Koushik Chatterjee: Yes. So the grant funding agreement, it is not a contingent issue. Grant funding agreement is, as I said, is in advanced state of finalization. It will get done. And as far as the decommissioning is concerned, that is as per plan that we have announced.
Thachat Narendran: I think Satyadeep, if I can supplement what Koushik said, see the closure of the blast furnace and the winding down of the heavy end was something that we've been talking about for quite some time given the financial performance of the U.K. business. The grant funding agreement and the agreement with the U.K. government is to invest in a new facility. So I think we had anyway said earlier also that the current operating model is not workable for us in the U.K. because of the bleed and the bleed has continued, it has increased. So I'm kind of saying that both coming together is ideal, so that we can build the electric arc furnace as we want to. But given the losses that we have, closure is going to happen anyways.
Koushik Chatterjee: As also the physical condition of the assets because you can't run a blast furnace without a coke oven for long. So we are very clear as far as the heavy end wind down is concerned.
Satyadeep Jain: Secondly, on the equity infusion into T S Global Holdings. I understand it's about USD 2 billion, maybe $1 billion is for the capital contribution for U.K. transition. The remaining, what was the need for India business to come to the rescue in a way to finance the debt that is coming due in the U.K. business? Tata Steel Europe have had the ability to do that on its own balance sheet. Just want to understand the rationale for this resolution, Board approval for this equity infusion?
Koushik Chatterjee: So Satyadeep, I think when you look at Tata Steel, I think all of you look at Tata Steel consolidated. So when you look at Tata Steel consolidated, the entire debt is at Tata Steel consolidated debt. There are assets inside and outside. The debt which we are talking about is actually a Tata Steel debt in foreign currency in Singapore. So the whole announcement, I think we had an inkling that it will be read wrongly. The fact is this is largely for refinancing of our scheduled loans that are coming up during the year. And there is some part of it which will go to the U.K. for funding its operating cost in the first half. And thereafter, we expect U.K. to -- apart from the restructuring cost, to get into a state where from an operating point of view, it will not need capital. But large part of this funding is actually for repayment of debt.
Satyadeep Jain: So this -- Koushik, this repayment of debt is for the foreign currency loan that you mentioned is at TS Global Holdings?
Koushik Chatterjee: That's correct. That's correct.
Satyadeep Jain: It has been possible for Tata Steel to provide letter of comfort, again, that the company had done in the past to be able to refinance the debt instead of equity infusion?
Koushik Chatterjee: So we will -- it is also -- you have to look at holistically. From a tax point of view also, if I look at it, we are looking at the India balance sheet to be the 1 which is most -- it will be the most tax efficient. So from both a tax point of view as well as from the entity, which will have the most leverage will effectively be the Tata Steel India business. And we don't want to keep debt outside and go through the fluctuations. I think both U.K. and Netherlands will be cash self-sufficient and U.K. post the project will be a cash self-sufficient entity. That's our strategy, that's our vision to drive. But this debt that is there, which was a debt from -- on Tata Steel. It was done in Singapore for different reasons. As you know, there are -- they were withholding tax issues, et cetera. But it is actually a Tata Steel debt, and that's why it's happening like that. There is no use giving letter of comfort and raising debt overseas and then meeting the debt servicing requirements from India.
Operator: The next question is from Ashish Kejriwal of Nuvama.
Ashish Kejriwal: Sir, I have 2 questions. One, because we are on the verge of commissioning our KPO Phase 2. So is it possible for you to give any volume guidance for it? Because last time we gave 0.7 million ton, and what's the status right now? And coupled with that, how much CapEx is still left in this phase for this?
Thachat Narendran: So I'll answer the first part, Ashish. The guidance on Kalinganagar is 1.7 million tons now for this year. But the overall guidance is 1.4 million because we have 1 of the blast furnaces in Jamshedpur being taken down for relining, the G blast furnace in Jamshedpur in January. So we will lose some volume there, which will offset some of this 1.7 million. So that's the overall guidance for the year is 1.4 million. But the Kalinganagar specific guidance is 1.7 million. And next year, we will obviously ramp up.
Ashish Kejriwal: And what about the CapEx, how much we have already done and what's remaining for the entire CapEx?
Koushik Chatterjee: Yes, last year, we spent about INR 5,000 -- INR 6,000 crores. This year, we'll be spending another INR 5,500 crores roughly.
Ashish Kejriwal: So total CapEx for this Kalinganagar project is to be around INR 25,000 crores or less than that?
Koushik Chatterjee: INR 27,000 crores, including downstream and upstream, which is the mining, et cetera.
Ashish Kejriwal: No, no, I'm talking about the total project cost for this KPO Phase 2?
Koushik Chatterjee: Yes. So which is what I'm saying that when I take the KPO Phase 2, we have to take the downstream, including the cold rolling and the galvanizing line, et cetera. And we have to take the mining because we are expanded on our mining capacity to service that. It will not come out of thin air, right? We have to spend money to get the iron ore capacity. All taken together. So it's not a slicing of just the steel assets. The steel assets plus the downstream assets plus the upstream assets and the infrastructure required is about INR 27,000 crores.
Samita Shah: And before we move to the next question, Naren, do you want to just clarify on the volume guidance from a consol basis in the intercompany sales?
Thachat Narendran: Yes. So on a consol basis, you will see that the Netherlands production obviously increases with both the blast furnaces operating. But if you saw last year, Netherlands, the sales was higher than the production because we had slab stocks. So the sales impact of Netherlands additional volume will be less than the production impact of Netherlands additional volume. And because the U.K. heavy end is being closed by September, both India and Netherlands will be supporting the U.K. operations by supplying slabs and hot rolled coils. So the net -- so there will be some incremental volume of production, which will flow to U.K. to make up for the second half of the year. So the net volume guidance, which I gave is for India and is on a consolidated basis, also around 1.4 million tons.
Ashish Kejriwal: That's very helpful, sir. Sir, secondly, in terms of European operation around the U.K. and Europe, in Netherlands. So U.K., what would be our estimated cash outflow because of this restructuring because we have not done yet. So that's one. And second, do we think that U.K. operation can start making breakeven also in FY '26?
Thachat Narendran: So our current projection -- yes, go ahead, Koushik. Go ahead. Yes.
Koushik Chatterjee: No, no, no. So FY '26, certainly, FY '24-'25, second half of the year, if you look at the underlying business, I keep taking the restructuring out. But if you take the underlying business, it should certainly be EBITDA positive, and we are looking at making it cash neutral in the second half. So it will not reflect in the full year being EBITDA neutral. But in the FY '25-'26, we'll certainly look at the full year being EBITDA positive.
Ashish Kejriwal: Sure. And what about this restructuring cost, cash out flow?
Koushik Chatterjee: So the restructuring cash outflow has got multiple components. I think the amount that 1 component is the redundancy. The second component is contract termination, then there are closure costs. So all taken together, the redundancy is not going to happen on 1 day. It is a phased -- as we close in June, as we close in September, then there are notice periods and terms that we are in the agreement with the -- or the proposition that we have for the employees, especially on the voluntary side. So it will -- what we had guided when we announced the redundancy program was that we are targeting about 2,600 people to go over an 18-month period. That's the phasing that we'll have. So even the cash will also go in the similar manner. So we will have a significant part of the closure cost contract termination, et cetera, during the financial year '24-'25, and the redundancy will be phased over an 18-month period. So the total cost of that is somewhere in the zone of 250 million to 280 million only on these issues, which includes redundancy, which includes contract cost and includes part of the closure cost. So that's how we should look at it. The voluntary redundancy is an option given or it's not an option given, it's a way in which we start the redundancy process for people who take the voluntary redundancy. So the phasing also depends on which people take it and thereafter, moves to a compulsory redundancy stage at a later point in time. So there is a phasing process in this.
Ashish Kejriwal: And lastly, can you give CapEx guidance for FY '25 for India and Europe separately?
Koushik Chatterjee: I thought I gave that. I said INR 16,000 crores.
Thachat Narendran: 75% of that would be in India, just to give you a sense.
Operator: The next question is from Amit Dixit of ICICI Securities.
Samita Shah: Amit, we can't hear you.
Operator: So Amit, since we are unable to hear you, we request you to please send in your questions via chat or rejoin the queue. We will now move on to the next question. The next question is from Sumangal Nevatia of Kotak Securities.
Sumangal Nevatia: My first question is on the fourth quarter earnings for the Europe entity. It's been somewhat of a surprise than what we were building in. So I just want to understand, is there any one-off gains, anything with respect to carbon credit or anything which has benefited in the fourth quarter?
Thachat Narendran: U.K. has had a GBP 50 million -- GBP 51 million benefit of the carbon credits.
Sumangal Nevatia: Okay. This is GBP 51 million or some per ton or something.
Thachat Narendran: Pound.
Sumangal Nevatia: Okay, only in the U.K. Got that. Okay. I just wanted to understand when we are just running the hot strip mill, I mean, on a steady-state basis, will we be able to cover the cost of the remaining 5,000-odd employees? And I mean, if you could just explain some unit economics as to how we can achieve EBITDA positive during the construction period over next 3 years?
Thachat Narendran: So these 5,000 employees are spread over all the downstream units. The hot strip mill only has a very few people there. Most of the 5,000 is actually in commercial functions, downstream units because we have a tubes business, a packaging business, other cold-rolled, galvanized, et cetera, et cetera. So because the cost of the hot-rolled coil or the slab that we supply will be lower than the cost at which we were producing it in the U.K., we expect it to be EBITDA positive when we do this. I think that's the math. Koushik, if you want to add.
Koushik Chatterjee: Yes. Just so I think the same math. I think there is 2.7 million tons of downstream. The hot strip mill is only the -- now becoming the starting point of the manufacturing process rather than from the blast furnace. So that's why we are going to get a lot of slabs into -- in the U.K. from India as well as Netherlands and elsewhere. And then the number in the hot strip mill is only 400. It is actually more beyond that. And therefore, what we expect is a conversion cost, as Naren mentioned, we were losing money because the cost of producing the slab in Port Talbot is higher than purchase of the slab. Therefore, there is a spread that comes in, apart from the downstream spread that gets added to it.
Thachat Narendran: And both this matches with the fact that Netherlands has a slab surplus. And India is going to be slab surplus for some time because when the Kalinganagar expansion happens, we'll have 1.5 million tons of slabs extra available, which we will later value add when we invest in more facilities.
Sumangal Nevatia: Understood, understood. My last question is on the spreads. So both for India, Netherlands, U.K., if you could share how are we seeing prices moving, NSRs moving in the coming quarters? And how about the raw material price movements?
Thachat Narendran: Yes. So for India, the guidance is roughly INR 300 to INR 350 per ton improvement in realizations on Q1 compared to Q4 because Q4 you saw prices sliding between January and March, and then prices have started going up since April. So on an average to average basis, this is what we expect on realizations in India. In U.K., it's going to be flat. In Netherlands, we are seeing an improvement of about GBP 90 per ton, also because of the mix and things like that. And the product mix keeps improving because our cold rolling mill also had issues last year and all that is back on track. In terms of cost, consumption-wise, coking coal in India will be about $10 lower on a consumption basis. In Netherlands, it's going to be about $24 per ton higher because of the inventory that we have there. And in terms of U.K., there's no coking coal involved because the coke ovens is closed, but the iron ore will be about $10 lower in U.K. and about $10 higher in Netherlands.
Sumangal Nevatia: Okay. So I mean do we expect U.K. to be in losses continuing to be at least for the next 1 or 2 quarters and some sort of a breakeven for Netherlands?
Thachat Narendran: So Netherlands will be EBITDA positive starting Q1. It has been EBITDA negative for the last few quarters. U.K. will be EBITDA positive, as Koushik said earlier, from Q3.
Sumangal Nevatia: Understood, understood. And just one last question on Netherlands. We mentioned in the opening remarks that the discussions with the government has started on the potential subsidy. I mean what -- in how many years is the end of life? And when do we expect the transition? How -- what is happening in U.K. similarly in Netherlands?
Koushik Chatterjee: No, it's not -- Sumangal, in this case, it's not an end-of-life issue. It is more a regulatory issue because by 2030, there is a regulation to bring down the CO2 emission in Netherlands as part of that 55% reduction rule in the EU. So it is less to do with end of life of assets. It's more to do with the reduction in CO2 as also to take care of the other environmental concerns and health concerns. So the engagement with the Netherlands government is to move towards the decarbon -- accelerating the decarbonization and moving towards a lower CO2 to comply with the 2030 regulation as also the fact that the free allowances of CO2 actually will keep coming down as per the EU regulation. So as the free allowances keeps coming down, we will have to -- if we continue our blast furnaces with the CO2 prices north of EUR 80 per ton, the cost of operating the same assets will become very significantly higher. So this is a transition more on the -- to decarbonization rather than end of place.
Sumangal Nevatia: And that will involve the entire 7 million ton capacity or in phases?
Koushik Chatterjee: Yes, it will be in phases. The first phase will help in covering for the compliance of 2030 and the second phase will follow thereafter. So the CO2 allowances will go down to 0 post 2032. So I think the first phase is to build -- take 1 of the blast furnaces and convert it into electric arc furnace. And the second phase will -- we then look at the second blast furnace, whether it will be electric arc furnace or another new technology by that time is what we have to evaluate from a technoeconomic perspective. But as of now, the focus of the conversation on the Phase 1.
Operator: The next question is from Tarang Agrawal of Old Bridge Capital.
Tarang Agrawal: Two, 3 questions from me. One, what's the cost differential between India and Port Talbot, the staff cost differential? Cost of production?
Thachat Narendran: What we've guided in the past is that post EAF, the cost in Port Talbot will reduce by about $150 a ton. That's why we say going forward, Port Talbot will be positive contribution. You said scrap cost?
Koushik Chatterjee: Slab cost.
Tarang Agrawal: Slab cost. What I meant was what's the slab cost differential between Port Talbot and India?
Thachat Narendran: So the India business, as you know, is 1 of the lowest cost producers of steel in the world, and you can see that from the EBITDA margins even today, right? So there is a significant cost advantage in India, but it's not that you can service the customers that you want in the U.K. for an extended period of time importing slabs and coils from elsewhere. I think that's why it's good as a temporary solution. There are also limitations on how much you can import into the country. There are exemptions that we will seek, et cetera. So it makes sense now. But eventually, when the EAF comes, we will be in a better cost position for local production and local supplies, and that's why we are moving as we have proposed.
Samita Shah: And just to add to that, Tarang, the entire sales will be on an arm's length basis, so totally market price driven. It's not that we're going to be transferring at cost or anything like that. Between intercompany, it will be completely at market price. And as you know, we don't give segmental profitability. So it's really hard for us to sort of give you what is specific slab sales. But it will be entirely at market price. There are related party guidelines in place, and it will be -- the transfer pricing will be completely market price driven.
Tarang Agrawal: Sure, ma'am. Sir, business has been constrained by capacity in India. Is it affecting your current relationship with customers? And are you losing -- do you feel like you're losing market share because we've just not had enough material in the Indian market?
Thachat Narendran: So it's like this. I think the Indian market obviously has been growing, and we've also been growing. As you know, we've doubled our capacity in the last years, right? So having said that, the point is not so much the absolute volume. I think what is important is the product mix. So for instance, the cold rolling mill in Kalinganagar has helped address the gap. We were short of some of the very high-end cold-rolled and galvanized steel that we needed to supply to our auto customers. And that is getting addressed through the cold rolling mill that we are setting up. So I think we are focusing more on specific segments. The Kalinganagar project itself is helping us make significant inroads into the oil and gas industry, which we were not able to service from Jamshedpur. So we are more focused on our market share on an overall basis being much higher or rather market share in the targeted segments being much higher than our overall market share. And we like to be at least 1.5 to 2 times our overall market share in the chosen segments. So in the auto industry, we have a 50% market share. Our overall market share may be 20%. But we may be a lower market share in some of the other segments who are just price buyers. So we focus on segments where approvals are required, quality is important, service is important and try and see that we get the highest market share in those segments. So that's been the philosophy of our growth. So we'll continue to do that. But obviously, Sometimes, we build equity ahead of the supply and that puts pressure on us to grow, and we will continue to do that.
Tarang Agrawal: Okay. Sir, through cycle profitability of the Netherlands business historically has been anywhere between EUR 60 to EUR 80, right? I mean that number is a reasonable number to work with, correct?
Koushik Chatterjee: It's slightly ahead. Actually, it's around EUR 100. And if you look at it, it's between EUR 80 and EUR 120, so you can take EUR 100. That's our basic assumptions on getting profitability across cycles if you take a 10-year average, including the upturns and downturns.
Tarang Agrawal: Okay. Just 2 more pointed questions, sir. What was Netherlands free cash flow for FY '24? And for the group, if you could give me the blended cost of debt?
Koushik Chatterjee: So the Netherlands free cash flow was negative because we were -- so you can say it was more 0 because we had about EUR 700 million of cash sitting on the company. So with the EUR 362 million of negative EBITDA, plus the BF6 relining CapEx cost, it actually -- that was the cash which got used up, and we have ended the year with almost 0 cash.
Tarang Agrawal: But there would have also been a working capital release, right?
Koushik Chatterjee: Yes, then it is a working capital release, which has been part of -- so there are below EBITDA costs also, which has got affected. There is a net release on working capital, but there has also been, for example, the start-up cost, which has come to restart the blast furnace 6 and so on.
Thachat Narendran: I think to emphasize the point, last year was the first year when Netherlands has been negative EBITDA, negative cash.
Operator: The next question is from Kirtan Mehta of BOB Capital.
Kirtan Mehta: In terms of the equity infusion, we have proposed $2.1 billion to retire some of the overseas debt. So what is total our overseas debt available? And will we be also have to infuse further equity overseas to continue with this strategy? And what would be the total we envisage when we complete the U.K. restructuring because even CapEx is likely to be supported by the India entity as has been previously said?
Koushik Chatterjee: So Kirtan, the -- when we say that it is the overseas equity injected, the form of the equity is not necessarily to be equity. The form of the equity could be debt too. So what we are basically saying that we are looking at the equity injection into the entity because we could have simply given a debt to that entity. And then every quarter, we would have translation gains and losses to account for. So what we have changed our approach is basically to fund it through equity or put it as a funding mechanism as an equity rather than just give intercompany debt. Because to us, we have seen it in the previous years that it is much more efficient to do it this way than to look at it from -- just from an equity perspective -- debt perspective. I think there is a -- in Singapore, we have overseas debt or foreign currency debt. There is a EUR 400-odd million of debt in -- which was the original Corus acquisition debt. We have reduced it from almost EUR 1.9 billion to EUR 400 million over the years. And there is about a little more than EUR 0.5 billion working capital debt between Netherlands and the U.K., which we believe that once the Netherlands becomes cash flow positive at the end of this year and next year, it will deal with its own debt -- working capital debt requirements. In U.K. we will equitize part of it, which is part of this amount that we are talking about, which will be about GBP 300 million roughly of that injection that we are going to do and the balance part will continue for its own working capital requirements.
Kirtan Mehta: So does this mean that we may not need to sort of inject further equity into this overseas business for further debt support?
Koushik Chatterjee: We will -- not for debt support, but for the project in the U.K., we will fund it from India.
Kirtan Mehta: $750 million funding could be potentially additional funding, which will go?
Koushik Chatterjee: $750 million plus the restructuring costs.
Kirtan Mehta: Right. Second question was about the TSK rollout. We have indicated 1.7 million ton as the production target for the year. Could you also sort of run us through the key project milestones that we are envisaging for start-up of various units through the year? And will we be reaching 5 million ton capacity by end of year?
Thachat Narendran: Yes. So the most critical one is the blast furnace to start by September, the physical completion by June and the commissioning to happen over the next 3 months after that. In September, start-up of the blast furnace is the critical milestone, I would say, because we have the continuous annealing line also coming up, the coke plant also coming up during the year. Samita can give you the specific months for each of these. And we have the third caster of the steel mill shop coming up later as the blast furnace ramps up. And to go back to your point, yes, the plan is to have it run to full capacity next year so that you get the additional 5 million. If you look at 1.7 million in 6 months, you're already coming close. I don't remember the exact March number, but we will be coming close to the weighted capacities, but we can give you more specific inputs on that.
Koushik Chatterjee: Kirtan, if I can just give you a sense of -- you asked for the overseas debt numbers. Can you -- if I can give you the numbers in more details. The foreign currency bonds of Tata Steel is about INR 16,600 crores. And in Tata Steel Europe, between the original long-term debt, working capital debt, et cetera, it's about INR 14,000 crores. And there are some credit lines in our procurement and trading entities. So this is broadly the numbers that you can take on board.
Operator: Thank you, sir. I would now like to hand over the conference to Ms. Samita Shah for the chart questions. Over to you, ma'am.
Samita Shah: Thank you, Kinshuk. So I'll take the questions on Europe first, and then we'll move to the questions on India. So I think the questions are about our investments in both U.K. and Netherlands and why we are continuing to invest in these businesses. And what is the ROCE, which we see from these businesses?
Koushik Chatterjee: So strategically, I think -- if you look at both, I think we have both Naren and I have talked about it in the past as far as what we see. If you look at it from also a strategic point of view, both Netherlands and U.K. are models where the decarbonization transitions are happening faster. And if you look at it from an ROCE point of view, I think our expected ROCE in the region of 12% to 15% across cycles is what we estimate. I think the -- fundamentally, with the CBAM coming in. And I'm sure you are noticing this space as the transition happens in -- on account of green premium and as well as CBAM, there will be time in the next decade and beyond when the pricing in Europe will certainly factor in because all the exports that has been going on into the EU as well as to U.K. will be much more costly where the domestic advantage in the European geography will significantly be higher. There is, I think, a strong business case on the decarbonization, both in the U.K. and Netherlands. And when I talk about 12% to 15%, I said these are on mid-cycle long-term assumptions. So I think there is a way in which the industry is also shifting. And therefore, we are looking at -- and if I also add to this that as far as Netherlands is concerned, in Netherlands, there will be a substantial part, unlike in the U.K., where internal capital will also be used to fund this transition. So it's a combination of internal funding, project funding and government support. And thereafter, we will look at behind all of this will be Tata Steel. In the U.K., we have agreed for a GBP 500 million from the -- grant from the government and the GBP 750 million from Tata Steel over the next 4 years.
Thachat Narendran: I think to supplement what Koushik said, in India, while it's all about growth and being able to build capacity to keep pace with the growth, in Europe, it's not about growth. It is about -- on the supply side restructuring, there will certainly be significant restructuring in Europe because not everyone will be able to transition into making green steel and hence, there will be a restructuring there. And we expect the demand-supply balance to be better in Europe as this transition happens.
Samita Shah: Thank you. I will just move now to some questions on the merger. What were the benefits of the merger of the smaller -- of the Indian companies, which we went through in FY '24?
Thachat Narendran: I saw a number of INR 400 crores, I think. Yes, go ahead, Koushik.
Koushik Chatterjee: Yes. No, I think -- so there are 3, 4 buckets. And I think between the taking out of central cost efficiency, and there are optimization on procurement and raw material supply chain benefits, I think we are looking at a total benefit of around INR 282 crores this year, plus if you take everything into account, I think the total benefits will be close to INR 400 crores.
Samita Shah: There is some confusion actually on the volume guidance. And how does that actually work through from a consolidated basis? So I would just request you, Naren, if you can just clarify the same.
Thachat Narendran: So I think what I want to say, I tried to say it earlier, but I'll just repeat it. So you will see in U.K., the production volume will be lower this year than last year because the second half of the year, we are not going to be producing steel in U.K. In Netherlands, you will see production higher this year than last year because last year, we were operating with one blast furnace for most of the year. This year, we'll operate in 2 blast furnaces. So that is from a production point of view. The exact numbers, Samita can give you. However, when you look at sales, in Netherlands, we sold more than we produced last year because we had high cost slabs in stock, which we used to produce and sell. About 0.6 million tons of slabs and hot-rolled coil is going to go from Netherlands to U.K. to support U.K. in the second half of the year and about 1.1 million tons of steel is going to go from India to U.K. to support U.K. in the second half of the year. So totally about 1.7 million tons of steel produced in Netherlands or India in slab or coil form will go to the U.K., which will get reflected and most of it will get reflected in the U.K. sales. Some of them will be, of course, inventory. And this is going to be ongoing beyond this financial year. And overall, if you look at a full year, let's say, from next year point of view, almost 3 million tons, 2.7 million, 2.8 million tons of steel needs to be supplied from U.K. -- I mean, from Netherlands, India or anybody else because we are also looking at supplementing what we can't supply out of U.K. and Netherlands, U.K. and -- sorry, Netherlands and India, we are looking at supplementing it by sourcing steel from other steel companies who are willing to sell slabs or coils into the U.K. So overall, on a consolidated basis, the guidance is 1.4 million tons more, largely because of what's happening in India, where the Kalinganagar operation is going to produce 1.7 million more than it did last year. In Neelachal, we expect about 200,000. So that's 1.9 million. And there is 0.5 million tons, which we will lose because the G blast furnace in Jamshedpur is going to go down in January. So that's broadly the number. Hence, we are seeing on a consolidated basis, volume guidance is 1.4 million tons more, which nets off all these, going from Netherlands to U.K. and India to U.K., et cetera.
Samita Shah: There is some question on demand and also in terms of our expansion journey to 40 million tons. What is the plan? And also a question, I think, on this current Phase 2, does it -- do you expect this to have a better margin profile than the blended EBITDA per ton currently?
Thachat Narendran: Yes. Overall, the demand is expected to grow, in our view, at 8% to 10% a year, steel consumption demand. So that's why we are bullish about growing in India. So the Kalinganagar, to answer your question, yes, today, when we look at the different sites, the Kalinganagar margins are probably the best for us simply because we don't have any of the legacy costs that we would have in Jamshedpur or even in Meramandali where we only acquired the plant 3, 4 years back. So there are some legacy inefficiencies, which we are trying to fix, structural inefficiencies, if I were to put it that way. So the Kalinganagar plant is a plant which we built from scratch, very efficiently laid out, very efficiently designed and very well run. And hence, the EBITDA margins in our Kalinganagar plant amongst our sites is the best. So as we grow in Kalinganagar, that's good for Tata Steel. As we grow in India, that's good for Tata Steel. So that's one part which I want to say. What was the second part?
Samita Shah: Second was basically about 40 million tons...
Thachat Narendran: So 40 million, so the good news for us is we now have this land that is required to go to 40 million, if not more, because the Kalinganagar plant, which is going to be from 3 million to 8 million, next phase will be from 8 million to 13 million and from 13 million, you can take it to 16 million. In Neelachal, we are at 1 million. We are running full out already. First phase is to take it to about 4.8 million or 5 million tons, and the next phase is to take it to about 9.5 million tons. So we are now currently working on Neelachal, taking it to 5 million tons. We have started work on Kalinganagar, if you were to take it from 8 million to 13 million. We are already doing some work in the Meramandali plant to take it from 5 million to 7 million. Beyond 7 million, we can go up to 10 million. But these days, since there is a lot of requirement on green cover in all our sites, like in Meramandali, we need to acquire a little bit more land to give the 33% green cover that is required. So while we have more than 2,000 acres of land, we do need to acquire a little bit more. So we are seeing Meramandali at 7 million, Kalinganagar clearly at 8 million and going to 13 million. So that means between these 2, we are at 20 million. Neelachal going from 1 million to 5 million. So that's a 25 million. Jamshedpur is already at 11 million. So that is 36 million. We have the EAF coming up in Ludhiana in the next 2 years. That will take us to 37 million. And our plan is if this EAF operating model works well, we can very quickly set up EAFs in the west and south to leverage the scrap available in those markets. So it will be a low carbon footprint operation where you recycle scrap and you're close to the customer. So you don't emit a lot of CO2 in delivering steel to customers. So for us, 40 million is very much visible. In fact, more than 40 million is visible because Kalinganagar, like I said, can add another 3 million more and Meramandali can add another 3 million more when Kalinganagar goes to 16 million and Meramandali goes to 10 million. So that means with the existing sites. And of course, Neelachal can add another 5 million, I've only said Neelachal 5 million. So which means beyond the 40 million, we have another 10 million, which we can add in our existing sites.
Samita Shah: I think that should provide them the clarity. There is also a question about Chinese steel entering India via Vietnam. And if you're seeing that in the marketplace and our views on that?
Thachat Narendran: So that's a concern we have as a steel industry that countries with whom we have FTAs are being used as a conduit to supply steel into India. Earlier, the issue was more with Japan and Korea. But now we are seeing with some of the Southeast Asian countries. So that's why, as an industry, we are looking at this space and also working with the government. Our fundamental point to the government is as far as private sector CapEx is concerned, the steel industry is leading the way with investments and we need to make sure that this momentum is not derailed because of somebody selling steel which is unfairly priced to take care of problems that they may be having in their domestic markets.
Samita Shah: Thank you. There are some questions on the financing now. So there is a question on what is the blended cost of debt for the group today.
Koushik Chatterjee: It's more around 8.5%.
Samita Shah: Yes. 8.5%, just to clarify, would be on the stand-alone. At a consol level, it will be more around 7%. Yes. And just for all the listeners, as you know, we've gone through extensive rate hikes globally about 450 basis points and about 250 basis points in India. But our interest rate has actually not -- has grown at a fraction of that. So just to give you some flavor. There are some questions which are -- I don't think are accurate, but I will just raise them here. It says the company still relies on Tata Sons for funds and raises funds through debt backed by the parent. That's not true. We do not...
Thachat Narendran: We have no debt, which is backed by Tata Sons, just to clarify.
Samita Shah: Yes. And the second question is the company is facing -- is planning to raise funds. So why are you distributing dividends instead of repaying debt?
Koushik Chatterjee: So I think from a company strategy perspective, we've been consistent as far as our dividend payouts are concerned. And I think consistent dividend payout is an important part of our financial architecture. And that's what we are doing. We don't go overboard, neither kind of starve. We just want to maintain. And this is also a reflection of the confidence of the Board and the future of the company. And that is something that with Kalinganagar coming in, turnaround of the U.K., the ramping up of Netherlands to a profitable operations, it gives enough confidence to the Board to continue to pay the dividends on a consistent basis.
Samita Shah: Thank you. There's a question on deleveraging and debt repayments. What is the plan for debt repayment? And do you expect to deleverage in FY '25?
Koushik Chatterjee: So FY '25, as I said earlier, it is a transition year because we are going to allocate capital on multiple fronts. First priority is to close the completion of the Kalinganagar expansion. Second is to put -- start putting funds into the electric arc furnace project in Ludhiana. Third is to complete the restructuring in Tata Steel U.K. and start spending the money as far as the EAF project is concerned. So with these priorities are very clear. And our assumption at this point is the market -- if the market is at the bottom of the cycle that we are seeing today, then our first target is to ensure that we are cash flow neutral. If the market provides more momentum in the months ahead, every opportunity will be taken to reduce the leverage beyond the prioritized capital expenditure.
Thachat Narendran: Also, Koushik, I think we are forecasting that our net debt-to-EBITDA will be below 2.5 by the end of the year.
Koushik Chatterjee: Yes. So that's the overall framework, but I'm just saying from a specific point of view, we'll certainly -- any opportunity that comes to the company and which we have, the deleveraging is going to be a continuing strategy of the company. I don't see that to be seasonal or tactical in any form.
Samita Shah: And the last question, which we're taking is on Sukinda mine surrender. Can you explain why you're surrendering the mine? And what are the implications of this for Tata Steel?
Thachat Narendran: Sure. Sukinda mine was something we've been running for a very long time. And it has reached a stage where there's only that much you could do through open cast mining. And we knew that to run it further, you needed to do underground mining. So when it was put up for auction, our conversations with the state government was that even if we win it, we will have to, obviously, in 2, 3 years, start the work on underground mining and that would mean that the production will stop or reduce. And then we will do the underground mining and get the capacity back. The state government was aligned with us on that. And in that basis, we participated in the auction. And -- but there were some changes in the regulations during the auction time as well as after that. And as a consequence, the penalties on the MDPA, which is a minimum that you need to produce to comply with the regulations, the penalty increased and also the flexibility that we were supposed to get because we had to go underground was not given to us after that. Though the fact that we needed to go underground and we couldn't mine at that level on an open cast basis was validated by the Indian Bureau of Mines as well. So -- but it reached a stalemate where we did not get the clearance that we needed, particularly from the center because the state and the center had different points of view on this. And the solution suggested was then to return the mine, surrender it, so that we are not liable for the penalties, which would have otherwise come on us. So that's why we decided to surrender the mine and what is reflected as a onetime of about INR 500 crores is the cost of that surrender. And that is better than running the mine as it is today with significant penalties if you can't produce at a certain level, which we couldn't produce for technical reasons. So it is more to solve a potentially lingering problem and move on.
Koushik Chatterjee: Samita, there is a chat question I saw, which I think we need clarification to give. It says that the government funding will not be there until the start of the proposed plant in the U.K., and therefore, how much will be the inflow. I think I want to clarify here that once the grant funding is -- once our spending is done, the grant funding is reset every quarter, which is whatever we spend in a quarter, the reimbursement of 40% of that as part of the grant will be given to us in the following quarter. So it's not that Tata Steel will fund the entire 1.25 million tons, and then the government gives us the grant. So it is as per milestones that has been agreed and as per the process, every quarter, when we complete the spend, we submit the reports, gets validated and gets reimbursed.
Samita Shah: Thank you, everybody. With this, we will end the call and look forward to connecting with all of you again next quarter. Thank you.
Thachat Narendran: Thank you.
Koushik Chatterjee: Thank you.